Operator: Good afternoon, and welcome to the nLIGHT First Quarter 2023 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Joseph Corso, Chief Financial Officer. Please go ahead.
Joseph Corso: Thank you, and good afternoon, everyone. I’m Joe Corso, nLIGHT’s Chief Financial Officer. With me today is Scott Keeney, nLIGHT’s Chairman and CEO. Today’s discussion will contain forward-looking statements, including financial projections and plans for our business. Forward-looking statements are subject to risks and uncertainties, many of which are beyond our control, including the risks and uncertainties described from time-to-time in our SEC filings. Our results may differ materially from those projected on today’s call and we undertake no obligation to update publicly any forward-looking statement except as required by law. During the call, we will be discussing certain non-GAAP financial measures. We have provided reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures in our earnings release, which can be found on the Investor Relations section of our website. I will now turn the call over to Scott.
Scott Keeney: Thank you, Joe. Q1 was a good start to the year for nLIGHT. Financial results were better than our expectations. Revenue of $54.1 million was above the midpoint of the guidance range. Product gross margin of 33% and adjusted EBITDA of $1.3 million were both above our guidance range. And finally, we generated positive cash flow and ended the quarter with over $108 million of cash with no debt. In addition to strong financial results, we made significant progress in three areas critical to our strategic growth objectives. In aerospace and defense, we made excellent progress in programs and applications. In industrial, we continue to position ourselves well in key applications outside of China. And operationally, we executed on a range of key initiatives that will enable us to generate profitable revenue growth. I will provide a brief update on each of these three initiatives and then turn the call over to Joe for a more detailed financial review of the quarter. In aerospace and defense, I’m pleased to report that we’ve made significant progress in directed energy. Earlier this afternoon, we announced that we have been awarded a new $86 million contract to produce a high energy laser prototype in support of the Department of Defense High Energy Laser Scaling Initiative, HELSI. Today’s award is a follow on to the $48 million award to be received in 2019 to produce a 300 kilowatt class high energy laser as part of the first phase of HELSI. In late 2022, we demonstrate power exceeding healthy program objectives and the scalability of our coherent beam combining architecture. We believe our technology is capable of both scaling to higher powers and providing higher performance. Today’s award is part of a multi-year development program that is expected to commence late in the third quarter of 2023. Now turning to the first quarter. Aerospace and defense revenue declined 9% year-over-year to $21.1 million, representing 39% of total revenue. First quarter development revenue was $13 million, and defense products revenue was approximately $8.1 million. We continue to remain excited about the opportunities we see in directed energy and we continue to invest in this market. We believe that we are uniquely positioned in directed energy.  Our broad portfolio of products for the directed energy market includes diodes, fiber amplifiers, beam combined lasers and beam control solutions. And this enables us to engage strategically with domestic and international partners across the entire directed energy ecosystem. Although it’s difficult to predict the ultimate timing of this market, it remains a high modernization priority for the U.S. government and our foreign allies as we continue to see increased demand for each of our products. In defense outside of directed energy, we are increasingly optimistic about the work we are doing on a number of new programs. Development revenue from these programs began to ramp in the first quarter and is expected to contribute to development revenue over the next several quarters. Moreover, these programs are expected to offer long-term revenue opportunities when they transfer to production, which we currently expect to be in calendar 2024. As we’ve mentioned in the past, the timing of all of our development programs can be uncertain and have a significant impact on quarterly revenue. Turning to the industrial end market, industrial revenue in the first quarter declined 17% year-over-year to $19.9 million, representing 37% of total revenue. Outside of China, industrial revenue decreased 9% year-over-year to $18.9 million. On a percentage basis, industrial revenue from customers outside of China increased to 95% of revenue in the first quarter compared to 86% in the first quarter of 2022, and 54% in the first quarter of 2021. In cutting, we continue to leverage our all programmable fiber lasers to deliver innovative high power solutions to our customers. Our customers are continually increasing in average laser power purchase, which enables higher productivity and better processing of thicker metals. In the first quarter, we received a record number of orders for 15 kilowatt and 20 kilowatt lasers. In welding, we continue to focus on the e-mobility market. Our portfolio of beam shaping lasers, single-mode lasers and process monitoring systems provide solutions for our customers at both the welding cell level and directly with electric vehicle OEMs. We will be exhibiting at the battery show in Stuttgart, May 23 to 25, and at ALAW in Detroit June 14th through 15th, showcasing our EV battery welding solutions, which feature our programmable beam shaping laser and process monitoring system. Additive continues to be a bright spot for nLIGHT. Over the last several years, we’ve introduced multiple programmable lasers for this market, including a higher power 1.5 kilowatt Corona single mode AFX laser in the fourth quarter of 2022. As the market continues to shift toward multi-laser tools, we remain uniquely positioned to enable our customers to design tools that reduce overall per part build cost. This week at the RAPID Trade Show in Chicago, DMG MORI announced the release of a new powder bed fusion machine with adaptive beam control exclusively using nLIGHT’s single mode programmable laser. In Microfabrication, revenue in the first quarter of 2023 declined 25% year-over-year to $13.1 million of revenue, which represented approximately 24% of total revenue. In Microfabrication, we offer high power, high brightness semiconductor lasers to many of the world’s leading short pulse in UV solid-state lasers and systems companies. There are a wide range of applications that are enabled by our semiconductor lasers, including electronics manufacturing processes such as drilling flexible circuits, laser marking to cutting glass or sapphire. In addition, we also enable medical applications where lasers are used for applications ranging from therapeutic surgical to aesthetic dermatological procedures. We continue to believe that we are a leader in this market, and current revenue performance is largely a function of the broader demand environment, which remains muted as customers across the globe continue to work through their higher than typical inventories. However, we are seeing some signs of recovery. Revenue from customers outside of China grew 17% quarter-over-quarter. In medical applications, which are reported as part of our Microfabrication end market, we continue to experience strong adoption of our newly released lasers targeted urological applications. We are currently generating revenue from multiple customers and we are actively engaged with several others. We remain on track to generate growth from this product in 2023 and beyond.  Turning to operations. We continue to make excellent progress on the automation of our manufacturing facilities in the U.S. during the first quarter. As we’ve discussed in the past, greater automation in the U.S. will enhance our position as a key strategic supplier to both defense and industrial markets in the U.S. enable us to exert more control over our manufacturing output and reduce overall supply chain risk. Over the last several quarters, we’ve been focused on installing and increasing the yield of our automated equipment, and we currently are at greater than 80% utilization rate of our installed automated equipment in the U.S. We expect to make further yield and efficiency improvements over the coming quarters. Last quarter, we announced that we executed a plan to better align our spending with our most important year and long-term revenue opportunities. By refocusing our engineering teams and reducing project material spending, we were able to reduce overall non-GAAP operating expenses for the first quarter of 2023 by approximately $2 million compared to the fourth quarter of 2022. In summary, we remain highly optimistic about our long-term growth prospects. Our continued focus on two core strategic growth initiatives, industrial outside of China and aerospace and defense make us well positioned to take advantage of strong secular growth trends for lasers in both the industrial and defense markets. In the immediate term, we are very excited to be entering the next phase of healthy development and what it means to our growth trajectory as we move to the second half of the year and into 2024. I will now turn the call over to Joe.
Joseph Corso: Thank you, Scott. nLIGHT drove solid business and financial execution during the first quarter with revenue and profitability above the midpoint and high end of our guidance respectively. We continue to invest in the programs and products that are most important for growth, while also carefully managing operating expenses and capital expenditures in what continues to be a challenging macroeconomic environment. The operational improvements we’ve made over the past several quarters have enabled us to reduce our overall cost structure without sacrificing the opportunity to drive profitable long-term growth. Total revenue for the first quarter of 2023 was $54.1 million above the midpoint of guidance, compared to $64.5 million for the first quarter of 2022. Product revenue for the first quarter of 2023 was $41.1 million, also above the midpoint of guidance compared to $51.1 million for the first quarter of 2022. Revenue decreased year-over-year across all end markets due primarily to lower demand and the timing of development projects. Sales to customers in China represented less than 7% of total revenue for the first quarter of 2023. Gross margin for the first quarter of 2023 was 26.4% above the guidance range compared to 25.1% for the first quarter of 2022. Products gross margin for the first quarter of 2023 was 33% compared to 30% for the comparable period of 2022. Products gross margin in the first quarter was positively impacted by favorable product sales mix, decreased sales of lower margin industrial products and lower overall manufacturing costs. Non-GAAP operating expenses were $17.2 million for the first quarter of 2023, a decrease of $1 million compared to $18.2 million for the first quarter of 2022, and a decrease of $2.2 million compared to the fourth quarter of 2022. The decrease in operating expenses were driven by reductions in R&D project spending and lower head count, both of which were a result of the business restructuring executed in the fourth quarter of 2022. On a GAAP basis, operating expenses were $22.5 million for the first quarter of 2023, a decrease of $2 million compared to $24.5 million for the first quarter of 2022. Net loss on a non-GAAP basis for the first quarter of 2023 was $1.8 million or $0.04 per diluted share, compared with a net loss of $1.6 million or $0.04 per diluted share for the first quarter of 2022. Net loss on a GAAP basis for the first quarter of 2023 was $7.7 million or $0.17 per share, compared to a net loss of $8.6 million or $0.20 per share for the first quarter of 2022.  Adjusted EBITDA for the first quarter of 2023 was $1.3 million, compared to $2 million for the first quarter of 2022 and negative $9.5 million of adjusted EBITDA last quarter. Improvements to adjusted EBITDA in the first quarter were driven by higher gross margins and reductions to our overall cost structure. Cash flows from operations for the first quarter were $600,000 compared to cash used for operations of $7 million for the first quarter of 2022. Capital expenditures for the first quarter were $700,000 compared to $5 million for the first quarter of 2022. While capital expenditures will increase in subsequent quarters, we expect overall CapEx during 2023 to be significantly below 2022 levels. Turning to the balance sheet. Our balance sheet remains strong as we ended the first quarter of 2023 with cash, cash equivalents, restricted cash and investments of $108.6 million and no debt, which represents an increase of $200,000 compared to the end of 2022. Our DSO for the quarter was 62 days, and inventory at the end of the first quarter was $67.1 million, representing 152 days of inventory. Turning to guidance. We continue to see demand signals that are relatively consistent with the first quarter of the year. While our Q2 revenue forecast remains subject to a number of uncertainties, both externally in terms of the macroeconomic environment as well as internally as it relates to continued execution. Today’s HELSI announcement, several other exciting revenue opportunities and continued operational improvements make us optimistic for growth and better profitability in the second half of the year. Based on the information available today, we expect revenue for the second quarter of 2023 to be in the range of $49 million to $55 million. The midpoint of $52 million includes approximately $40 million of product revenue and approximately $12 million of development revenue. Turning to gross margin. Second quarter products gross margin is expected to be in the range of 27% to 31%. And development gross margin to be approximately 7%, resulting in an overall gross margin range of 22% to 26%. Finally, we expect adjusted EBITDA for the second quarter of 2023 to be in the range of approximately negative $2 million to positive $1 million. With that, I will turn the call over to the operator for questions.
Operator: [Operator Instructions] And our first question comes from Ruben Roy of Stifel. Please go ahead.
Ruben Roy: Hi. Thank you. Thanks for letting me ask you a couple questions here. Scott and Joe, congrats on the new contract. I guess, we could start there. And to the extent that you can talk a little bit more about it. Scott, just wondering, how you – where this sits on the roadmap of the directed energy programs in terms of if you give us any idea of what the milestones might look like or the power ratings, et cetera? And I imagine this is running in conjunction with the existing program. And any other detail, again, to the extent that we could talk a little bit more about how you see this playing out over the next couple of years would be helpful? Thank you.
Scott Keeney: Absolutely, Ruben. So yes, it’s an exciting award. It’s the largest contract that we’ve ever received. And so real highlight and great validation of the hard work that we’ve done. As we’ve said, the – in the HELSI contract thus far, we have exceeded the program objectives for the 300 kilowatt class laser and this new contract extends the work that we’re doing to continue to both scale power and improve the performance of high power lasers. And so it’s an exciting continuation and extension of the work that we’ve been really hard at work on for the last few years, actually last many years. And at this stage, we’re not able to provide a whole lot more detail, but it is fair to say that we are continuing to scale power building on what we’ve done thus far.
Ruben Roy: That’s helpful and yes, understood. Thanks Scott for that. And yes, it’s great to see. I guess the next area I wanted to delve into a bit, either Scott or Joe was on the guidance, understood that the macro is a little tough to gauge first half of the year. We’re hearing that from a lot of companies, but can you give us a little bit of a breakdown of how you’re seeing the sort of the various segments, industrial, microfab, et cetera in terms of how you see that playing out for Q2? That’d be helpful. Thank you.
Joseph Corso: Yes, sure, Ruben. So I would high level describe the demand environment that we are in right now for both micro and industrial to be relatively similar to what we saw in Q1, and we continue to do good work with customers certainly as we think about opportunities longer term in industrial that work and the design wins that we’re getting today. We don’t think that trajectory has changed. But right now as we just look at the forecast from customers, it’s sort of holding, but it’s kind of holding at plus or minus levels that where we are today. In the micro business, I think you’ve got to look at that a little bit by geography. Outside of China, I would say that the business again is sort of where it’s been in the first quarter of the year. We have far less visibility into sort of end customer demand be because of where we sit in the value chain. On the positive note, we did see some improvement in China. China was way below where we’ve been historically in micro. So that has been improving somewhat. And then on the defense side, again, you’ve got to sort of look at that in two ways. You’ve got to look at that from a product perspective and a development perspective. On the product side, we’ve got a few great programs, right, that we continue to execute on. You can see that the take rate might change quarter-over-quarter. And then on the development side, we’re obviously encouraged by the new directed energy award that we’ve seen. And so we think there’s opportunity, probably not as much in the second quarter you saw we gave a specific guide number in development. But as we move through the year, right, we expect that to be biased more towards the positive and growth in the back half of the year.
Ruben Roy: Okay. That’s great. Thanks for all that detail, Joe, very helpful. If I could sneak one more high level question in for Scott on the industrial side, thinking about cutting and the data point you gave us around record number of orders, but then also thinking about welding one of your competitors is starting to see some very strong numbers out of welding. And clearly, the numbers are a little smaller here. But it seems like there’s a lot going on in welding. Maybe you could just give us your high level perspective on those two markets and how you’re thinking about them in terms of investments opportunity, maybe a little bit longer term, is welding something that we look forward to is kind of driving faster, longer-term growth and cutting in industrial, if we, again, think about this from a longer term perspective?
Scott Keeney: Yes, absolutely, Ruben. And frankly, let me cover all three of the segments in industrial to answer your question in a more fulsome way. So first, cutting is the single largest market today in the industrial laser segment. Albeit more mature and not growing as fast as the other segments, but there remain opportunities to continue to expand in that market. And certainly the Corona Technology has served us well, and we do see opportunities there to continue to expand. But welding, as you noted, is certainly a faster growing segment with the EV battery and OEM supply chain certainly as an attractive segment. And we do see opportunities for growth there. But it’s that third segment, which is additive, which is the smallest of the three segments today. But clearly the fastest growing and one that we’re very well positioned to grow just back from the RAPID conference in Chicago. And our lasers are in some of the leading technology in that space. And 3D printing metal is an area that is growing rapidly and is poised for further growth. And again, the Corona AFX technology we have there is highly differentiated and we are really pleased to see the announcement from DMG and other information about our lasers being used to drive that market forward. So, we do see all three segments as important and in that order in terms of growth and attractiveness for us.
Ruben Roy: Got it. Thanks guys.
Scott Keeney: Thank you.
Operator: The next question comes from Jim Ricchiuti of Needham & Co. Please go ahead.
Jim Ricchiuti: Hi. Thank you. Good afternoon. Congratulations by the way as well on the award. I’m wondering, Scott, if you could talk a little bit about what this might do for you in the international markets with our allies that your focused, you’ve talked about it in the past. And I’m just wondering could this, does this have the potential to be a catalyst for that part of the business?
Scott Keeney: Yes. Good. And I presume yes, in the international market for the directed energy applications, Jim, that’s what you refer to?
Jim Ricchiuti: That’s correct. That’s right. That’s right.
Scott Keeney: Yes. Good. So yes, something, we didn’t talk a lot about, but we’re doing well and deeply engaged with our allies in a number of different countries. And this work that we’ve done where we have the highest power laser in history has not only demonstrated what this technology can do, but it’s certainly enhanced the complete stack of technology that we have. And as a result of that, we’re well positioned to participate not only in the U.S., but abroad also, whether it be at the integrated laser level or at the component level. And so, yes, we have made very good progress with key allies based upon that leadership in the performance that we have. And then further I think that this technology, which is a coherent beam combining approach, is one that is viewed as likely the path forward in other countries also. So yes, we see this not only as a U.S. DoD opportunity, but also we see opportunities internationally.
Jim Ricchiuti: Okay. And on the award, the HELSI award, again, it’s a little tricky for us to judge how this could scale. Multi-year is somewhat vague. Revenues begin in calendar 2023 third quarter, but how should we be thinking about this? And to what extent does this Joe, maybe this is a question for you. I’m wondering this is going to be in line with the development margins that you normally generate, correct?
Joseph Corso: Yes. On the second part Jim, yes, it’s a cost plus fixed fee contract. So margins will be our typical development type margins. That’s correct.
Scott Keeney: Yes. And just to build on that, Jim, look $86 million contract, biggest contract we’ve ever received. That’s fantastic. It’s good. But I think the financial side of this is, while that’s very important, the core of this is validation of our position in the market, our leadership and continued support to drive that forward. This area as you know, is a mission critical top priority not only for the U.S. but for our allies. And we are well positioned to continue to lead in this space. And I think that’s what I take away from this announcement is further validation of that. There’s a lot of more work to do and certainly this contract will support some very exciting things we have in the works to take the technology forward.
Jim Ricchiuti: Okay. Just switching gears on the industrial side, you mentioned the momentum that you’re seeing in additive. In the current environment though, there’s also some concern about tighter capital budgets. And I’m wondering, if you guys are seeing that in some of the order trends in this part of the business or for that matter and in with some of your cutting customers as well. Are you seeing signs of that?
Scott Keeney: It’s interesting, Jim. Certainly looking for those signs reading the sort of macro reports that all of us read and looking for signals there. To be honest, we’re not seeing that in a material way that’s directly affecting the work that we’re doing. And then in particular, when you look at say, welding and additive, what we see is technology that is continuing to improve faster than people expected and therefore displacing legacy technologies. And so as companies look to improve their supply chains to improve their manufacturing, I think that is definitely a tailwind that’s helping us in these markets. And I think you were at the RAPID show. There’s a lot of exciting news going on in additive in particular.
Jim Ricchiuti: Yes, there is. And Joe, the final question for me is directed for you just with respect to the margin improvement that you saw on the laser product side. How much of that is a function of what you’ve been doing on the – with the automation lines? And to what extent are you, where are you in realigning your position in China as well? What I’m getting to is trying to understand, how we could think about additional leverage as you refine some of the manufacturing processes that you’ve been doing?
Joseph Corso: Yes, Jim, I think the opportunity for us to drive better gross margins at this point comes largely through growth and a larger revenue base that we can leverage – further leverage the reductions that we’ve already made. I’ll just call it broadly manufacturing expenses, right, which is automation here in the U.S. right, lower spending, better utilization, there’s still some more to do to optimize in Shanghai. But I think the big driver going forward is going to be to leverage that fixed cost base. What you saw last quarter, I think was part of that, Rick, as you look at sequentially putting aside some of the charges – the one time charges that we took last quarter on the inventory side. But we had a really nice mix of – a better mix of business in the first quarter of the year. And we lowered our overall spending as part of plan. I think really though, we expect to be able to drive better gross margin profitability as we leverage the fixed cost base that we have today.
Jim Ricchiuti: Got it. Thanks very much.
Joseph Corso: Thank you.
Operator: The next question comes from Greg Palm of Craig-Hallum Capital Group. Please go ahead.
Greg Palm: Yes, thanks for taking the questions. Congrats on the improved results and more importantly, the HELSI win. If I could maybe start there and I guess where I’m going with this is, it’s kind of a two-part question. But what other programs are out there, maybe not necessarily of the same sort of size or importance? But what other programs in director energy are out there and does, for instance, this specific win can that help you in terms of going after other programs as well?
Scott Keeney: Yes, absolutely, Greg. So there is some information out there. It’s somewhat limited, but let me try to provide the best information we can. I think first of all, to answer your second question, absolutely, the HELSI program to date has been just absolutely critical in taking the technology we had, which is leading and taking it much further forward to over 300 kilowatt level and continuing on that journey with ongoing new contract will enable us to be that much better positioned especially for the applications that require higher powers which are the strategic applications. In terms of the other work out there, well, the HELSI program is the large program from the Office of the Secretary of Defense, certainly the Army and the Navy have other programs that are large also. And I think we are seeing more data that supports the future roadmap there. The current President’s budget for FY 2024 provides more information about further growth in those programs. And it offers a glimpse into how those programs will ramp over the coming years. There’s also a GAO report that came out last month that’s worth taking a look at that highlights this transition that the technology is going through and notably focused on both the Army and the Navy. So yes, there’s more than just the HELSI program. But the HELSI program is a really the critical program to develop the core technology and develop the industrial base in the U.S. for this. And we are absolutely committed to providing that strong industrial base here in the U.S.
Greg Palm: Yes. Makes sense. If I could shift gears to more on the industrial kind of market, the demand trends that you’re seeing. Joe, you talked about kind of a relatively, I guess, stable market, I think is what you characterize it at. I’m trying to tie that back to the guide because normally Q2 is up quite a bit versus Q1. And so tying back the stable to a guide that was quite a bit below what normal seasonality is doesn’t make a whole lot of sense, am I missing some?
Scott Keeney: Yes, I’m not sure you’re missing anything, Greg. But I think you’ve got a factor in China, right. If you look at sequentially even going back to 2020 [indiscernible] really until 2023, right? We saw pretty good pickup in revenue from China sequentially from Q1 to Q2. So now that the business in China represents seven-ish percent of our overall revenue, we just don’t see that level of seasonality like we used to.
Joseph Corso: Yes. And just to highlight that, Greg, remember, when we went public China represented over 40% of our revenue. And so it was material and recall that the reason for that seasonality was because of Chinese New Year. Q1 was soft when companies were shut down for on the order of a month during Q1. So you had this Q2 seasonality and that was unique to China. Does that help you, Greg?
Greg Palm: Yes. No, that makes sense. That’s a good reminder. In terms of the gross margin, maybe you can just dig in a little bit more on the upside relative to what your expectations were coming out of Q4. And I guess what’s most surprising, and I’m not sure how much of it is gross margin versus lower operating expenses. But I think, Joe, last quarter you talked about a sort of a breakeven point around $55 million to $60 million depending on mix. And you’re sitting here guiding for what, $52 million [ph] at the midpoint and essentially break even EBITDA, which is quite a bit of an improvement versus what we were thinking just a few months ago?
Joseph Corso: Yes, so I think it’s a combination of really a couple of things, Greg, as you think about where we guided and where we ended up. We did have a, a slightly better mix than we forecasted. In the industrial segment, our sales in industrial were slightly higher than we had modeled, and then inside of the industrial segment, we had a better – a more favorable mix of business, even inside industrial. We’ve talked about this historically that depends on the geography, the customer, the product, the application, the features, it can have a of a swing on the overall margin profile. The other piece of it was, I think both lower manufacturing expenses, but just better utilization of those manufacturing expenses. So there was a pickup that we had from just a better utilization. And then the third piece of it is we did see some lower costs in the quarter as well. We did see some lower shipping costs. I already talked a little bit about the overhead spending. And then the other thing is I think we’re doing a better job manufacturing our product. So as we look at the kind of inside the quarter, scrap and other type of excursions that you can have when you are manufacturing both high tech products and you’re using a new line we did a little bit better than we thought. So when you add those three things up that’s really what drove the better performance. And then to your point, right, that can flow down to the adjusted EBITDA line, right? So, there may be quarters where we’re a little bit the other way. But we feel pretty good about where we are in terms of driving to breakeven adjusted EBITDA. And as I answered a question earlier, right, really where you’re going to start to see the leverage in our operating model as we continue to grow the revenue because we don’t believe that we’re going to need to add on the – either the manufacturing side or the OpEx side to support pretty meaningful revenue growth going forward.
Greg Palm: Makes sense. All right. Best of luck. Thank you for the questions.
Joseph Corso: Thank you, sir.
Operator: [Operator Instructions] And our next question will come from Mark Miller of The Benchmark Company. Please go ahead.
Mark Miller: Congratulations on your directed energy contract win and also the record orders for 15 and 20 kilowatt lasers. In terms of the directed energy program, as that ramps, it looks like it’ll be an appreciable increase in your development revenue, even though we don’t know how many years it’s over. Would you expect development margins to significantly increase as this program ramps?
Joseph Corso: No, I don’t think we’re going to see development margins increase. I think by nature of this – by nature of the contract, there is a fixed fee associated with it. So Mark, we expect that to be relatively consistent throughout the period on the development side.
Mark Miller: Are the fees you’re getting from the program, is it linear throughout the length of the program, or is it back end loaded, front end loaded?
Joseph Corso: No, it in – planning it should be, it should be linear.
Mark Miller: Okay. In terms of, like, I noted you had record orders, 15, 20 kilowatts. Can you at least give us a feeling for has that have you seen an appreciable increase in your backlog excluding the directed energy contract?
Joseph Corso: I’m not sure. I would say we’ve seen an appreciable increase in firm backlog Mark, but what I think we have seen is we’ve seen an increase in the forecast for higher power and programmable lasers from our customers. So as we’re looking at where the growth is coming from, particularly on the cutting side, it continues to, I would just say skew towards programmable and skew towards higher powers, right? And address the question earlier, just sort of talking about the mix and so to the extent that happens inside of a quarter, right, the margins can be better.
Mark Miller: And finally, I just wondering if you could break out sales percentages for fiber lasers with greater than six kilowatt power and also for less than two kilowatt power, these sales percentages?
Joseph Corso: Yes, sure. So, greater than six kilowatt was 60%, two to five was 28%, and low power was 12% this quarter, Mark.
Mark Miller: Thank you.
Joseph Corso: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Joe Corso for any closing remarks.
Joseph Corso: Yes, thank you everyone for joining today and for your interest in nLIGHT. We look forward to speaking with you over the course of the quarter. Thanks.
Operator: The conference is now concluded. Thank you for attending today’s presentation and you may now disconnect.